Operator: Good afternoon. Thank you for joining us today to discuss LifeMD's Results for the Third Quarter Ended September 30, 2024. Joining the call today are Justin Schreiber, Chairman and Chief Executive Officer; and Marc Benathen, Chief Financial Officer. Following management's prepared remarks, we will open the call for a question-and-answer session. Before we begin, I would like to remind everyone that during this call, the company will make forward-looking statements, which are subject to numerous risks and uncertainties that may cause actual results to differ materially from those projected. These risks and uncertainties are described in the company's 10-K and 10-Q filings within the other filings that LifeMD may make with the SEC from time to time. Forward-looking statements made during this call are based on current information available to the company, as of today, November 7, 2024. The company assumes no obligation to update or revise any forward-looking statements after today's call, except as required by law. Also, please note that the management will be discussing certain non-GAAP financial measures that the company believes are important in evaluating LifeMD's performance. Details on the relationship between these non-GAAP measures to the most comparable GAAP measures and reconciliations thereof can be found in the press release issued earlier today. Finally, I would like to remind everyone that today's call is being recorded and will be available for replay in the Investor Relations section of the company's website. Now I'd like to turn the call over to LifeMD's CEO, Justin Schreiber. Please go ahead.
Justin Schreiber: Thank you, and good afternoon, everyone. After the market closed, we issued a news release announcing our third quarter financial results and posted an updated corporate presentation on our website at ir.lifemd.com. I am very pleased to report that LifeMD's core telehealth business continues to have tremendous momentum, delivering strong top and bottom line results across all of our key telehealth offerings. For the quarter, telehealth revenue grew by 65% versus the prior quarter, and our telehealth standalone profitability continued to make significant gains with adjusted EBITDA increasing by 200% sequentially to $2.5 million. This result was well ahead of our guidance for telehealth adjusted EBITDA of $500,000 to $1.5 million. Importantly, while our weight management program remains a key piece of our business, LifeMD's holistic virtual care platform performed strongly with growth in all of our key treatment areas, including weight management and men's health, as well as smaller categories such as insomnia. As I stated before, LifeMD is not a category-specific business, but rather it's a comprehensive virtual care platform trusted by nearly 270,000 patient subscribers nationwide across a range of clinical areas. As we continue to evolve our differentiated virtual care platform and offerings, we remain very focused on three key areas. One, expanding our clinical offerings and pharmacy capabilities; two, further differentiating our weight management offering to manage the rapidly changing dynamics of the market; and three , accelerating growth of our RexMD men's health business through complementary new offerings. Regarding the first area, I am very pleased to report that we officially opened LifeMD's affiliated National Pharmacy, which we announced yesterday. This 22,500 square foot facility in Pennsylvania, which includes our OTC fulfillment center, is led by a tremendous team of pharmacy and logistics professionals and features state-of-the-art automation technology capable of servicing our rapidly increasing prescription volumes. We expect the pharmacy to be accretive in 2025 and improve our patient experience and product delivery times. Owning and operating a 50-state mail order pharmacy also enables us to efficiently introduce and scale new offerings that can be personalized to the needs of individual patients. As of today, our pharmacy is licensed in 33 states, and we expect to expand our licensure to all 50 states in the coming months. Another important enabler of our growth in 2025 and beyond is contracting with private and government payer programs, which improves the affordability of our virtual care and pharmacy services for patients. We're pleased with the progress we've made in this area over the past quarter, especially with the compliance and revenue cycle management infrastructure we continue to build and optimize to support these programs at scale. Our affiliated medical group is currently enrolled to service patients across multiple commercial payers in seven states. While we have been rolling out this program methodically, we are beginning to see encouraging acquisition costs for patients choosing to use private health insurance and strong reimbursement rates from payers. By the end of 2025, our goal is to be contracted with one or several dominant private payers across at least 25 states. More importantly, we remain on track to launch Medicare in the first half of 2025. We do not currently treat Medicare-eligible patients within our primary care and weight management offerings, and we think this opportunity is an enormous and underappreciated one for LifeMD in the years to come. Turning to the second key area. As we discussed last quarter, one of our top priorities is enhancing the quality and depth of our rapidly growing weight management offering. LifeMD has built a leading weight management program that provides patients access to branded and compounded GLP-1 therapies and alternative non-GLP-1 options, for those who may not be able to afford or tolerate GLP-1 treatments. Our commitment has always been to put patients first. If a patient's insurance denies coverage for branded GLP-1 therapies, we provide options by working with trusted third-party compounding pharmacies. While we're disappointed with the current lack of coverage from payers and employers for branded GLP-1 therapies, we remain optimistic that in 2025, GLP-1 manufacturers will reach agreements with private and government payers, including Medicare, that will improve the accessibility of branded GLP-1 medications and reduce the need for patients to use compounded GLP-1 medications. In addition to being patient first, the LifeMD platform is branded therapy first. If patients have private insurance coverage and come to LifeMD seeking care related to weight management, we make every effort to help patients use their insurance coverage to access a branded GLP-1 therapy. We will begin to do the same thing in 2025, if Medicare coverage expands, as we anticipate that it will for these medications. We understand there is some recent uncertainty for investors around the future of compounding GLP-1 medications. While we do not anticipate any immediate changes, we continue to believe that LifeMD is uniquely positioned as a leading 50-state provider of virtual metabolic care that is focused, first and foremost, on raising the bar for virtual care and doing what it takes to help patients access health-changing medications. We will continue to follow the lead of the U.S. Food and Drug Administration and look forward to collaborating with all patients, partners and payers to do what it takes to drive affordable access to medications and care across our platform. That said, the vast majority of LifeMD's revenue and profits are derived from our comprehensive virtual care services that go beyond prescribing appropriate medications. We are deeply committed to supporting patients through every step of their health journey, offering not just access to essential medications, but also personalized guidance to make sustainable long-term diet and lifestyle changes. Our offerings are designed to ensure that patients receive safe, effective care tailored to their unique needs, both during and after their treatment. By providing continuous support and expert resources, we empower patients to make meaningful and sustainable long-term improvements to their health. During the third quarter, LifeMD made several key enhancements to our weight management model, including the rollout of in-home lab capabilities, the launch of a non-GLP-1 treatment option combining metformin, bupropion and topiramate, which we estimate could expand our addressable market by 15% and the implementation of additional AI-driven technology and optimized workflows to improve electronic benefits and prior authorization infrastructure. While we are still in the early stages of these enhancements, they are essential to our long-term success and resilience in a market that we believe will dominate U.S. healthcare spending throughout the next decade. Lastly, and regarding the third key area I mentioned earlier, we continue to make progress in accelerating the growth of our RexMD men's telehealth business, which remains one of the largest and most respected men's telehealth brands in the U.S. Up until recently, Rex had scaled to over $70 million in annual revenue, primarily through generic ED and other sexual health offerings without the benefit of complementary therapies that would dramatically expand its addressable market. We've begun to capitalize on these opportunities with the launch of a weight management offering under RexMD. We added almost 2,000 net new patients through this approach during the third quarter with day one return on ad spend exceeding 1x. Following extensive compliance protocol development, we also recently launched a hormone replacement therapy offering, which is our first comprehensive men's hormonal offering. Though it's too early for us to begin discussing performance data, we are very optimistic about this complementary offering and believe long-term retention will be very strong for both patients on prescription testosterone, as well as those, who do not qualify and may receive other appropriate therapies. In addition, we expect to offer personalized compounded ED therapies in the first quarter of next year. We believe this offering alone has the potential to drive incremental double-digit growth for RexMD's core sexual health business. We also are working hard on building and launching a robust concierge men's health program, which will be marketed under the RexMD brand, but will leverage the LifeMD technology and care platform. Given the difficulty that exists across the country to access high-quality healthcare, we think that there will be strong demand for this offering from existing and new patients that know and trust the RexMD brand. As for WorkSimpli, its performance leveled out in the third quarter on a run rate basis and now has returned to growth. It remains on track to achieve the previously guided peak EBITDA run rate in the range of $1 million to $1.3 million per month by the end of 2024. Importantly, with the execution of our strategic initiatives, a rapidly growing portion of our consolidated revenue and profitability is coming from our core telehealth business, which represented more than 75% of Q3 total revenue, as compared with just 63% a year ago. In summary, LifeMD's core telehealth business continues to fire on all cylinders and is poised to continue delivering robust performance and growth. And with that, I'll turn the call over to Marc Benathen to provide a summary of our financial results. Marc?
Marc Benathen: Thank you, Justin, and good afternoon, everyone. LifeMD achieved a very strong third quarter performance with total revenues growing 38% versus the year ago period to $53.4 million. Core telehealth revenue grew by 65% versus the prior year with standalone adjusted EBITDA profitability at $2.5 million, which was up 200% sequentially versus the second quarter. Telehealth subscriber growth remained strong with the number of active subscribers increasing 30% year-over-year to approximately 269,000 at quarter end. The number of WorkSimpli active subscribers contracted 6% to 161,000, but returned to sequential growth, reflecting what we believe is a sustained turning point in WorkSimpli's performance. Consolidated gross margin for the third quarter was a record 90.6%, up 300 basis points versus the prior year. Gross profit was $48.4 million, an increase of 43% from the year ago period. On a standalone basis, gross margin for our telehealth business increased by 770 basis points year-over-year to a record 89.3%. Our GAAP net loss attributable to common stockholders for the third quarter was $5.9 million or a loss of $0.14 per share. This compares with a GAAP net loss attributable to common stockholders for the third quarter of 2023 of $6.9 million or $0.20 per share. Adjusted EBITDA is a non-GAAP measure we define as income or loss attributable to common shareholders before various items, as outlined in today's earnings news release published prior to this call. Adjusted EBITDA totaled $3.7 million for the third quarter as compared with $2.8 million in the year ago period. Telehealth-only adjusted EBITDA is a non-GAAP measure defined as adjusted EBITDA for only our telehealth business, excluding WorkSimpli. This measure was $2.5 million for Q3, as compared to negative $2.3 million in the year ago period and as mentioned before was up 200% sequentially versus the second quarter. LifeMD generated over $6.2 million of cash flow from operations during the third quarter of 2024 and generated positive net cash flow after CapEx, debt service and preferred stock dividends for the fourth consecutive quarter. We exited the third quarter with $37.6 million in cash. Turning to financial guidance, today, we are reiterating our guidance for 2024 total revenues of at least $205 million, while raising telehealth revenue guidance to between $151 million and $152 million, up from $150 million previously. Also, we are raising standalone telehealth adjusted EBITDA guidance for 2024 to be in the range of $6 million to $7 million, up from $3 million to $4 million previously. We expect total adjusted EBITDA, however, including the impact of WorkSimpli consolidation to be in the narrowed range of $13 million to $14 million from the previous range of $13 million to $15 million. This wraps up our financial results. I'd now like to turn the call back over to Justin.
Justin Schreiber: Thanks, Marc. As we conclude our prepared remarks, I want to reflect on the incredible progress LifeMD has made this year. 2024 has been a year of truly transformational progress, a year in which our vision for a best-in-class, fully integrated telehealth platform has become a reality. The third quarter performance of our core telehealth business exceeded expectations across the board, especially in profitability, which I think shows that our model is not only scalable, but also resilient and positioned for success in an evolving healthcare landscape. Our achievements this year marked a major milestone for LifeMD. The recent launch of our pharmacy further enhances our comprehensive health care ecosystem. We have taken full control over the quality, timing and personalization of patients' healthcare journeys, from prescription services to OTC products to compounded therapies by us and from others and more, we can now bundle and tailor treatments to create a deeply curated and seamless patient experience. Our platform now includes a vertically integrated virtual care system, a 50-state medical group, an in-house pharmacy and a dedicated U.S.-based patient care center. The completion of our ecosystem demonstrates our commitment to accessible, high-quality and affordable healthcare for every American, enabling us to deliver patient care with a level of coordination, control and compassion that was simply not possible before. Looking ahead, the LifeMD platform is primed to redefine what virtual care can achieve. As we continue to expand with our new AI-driven tools, expanded insurance capabilities and thoughtful offerings, we are well positioned to accelerate our growth and drive significant value for patients and shareholders. We look forward to sharing our continued progress in 2025 and beyond. And with that, I'll open the call to Q&A. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of David Larsen from BTIG. Your line is now open.
David Larsen: Hi. Congratulations on all the progress, especially the EBITDA in the healthcare division. It's fantastic. Can you talk a little bit about the FDA's comments on semaglutide and also tirzepatide, whether or not they're going to be on the shortage list? And for how long and how long do you think this process will take to basically come to resolution? And just sort of any thoughts there would be very helpful.
Justin Schreiber: Sure. Thanks, David. This is Justin. Look, as we talked about on the call, LifeMD is a platform for comprehensive virtual care and we're agnostic to the treatment modality we provide to our patients, be it branded or compounded and always try to put patients on branded therapy where possible. The current challenge is that the mostly bottom 50% to 60% of America doesn't have affordable coverage for GLP-1 medications and importantly, like this is the population, where the greatest need exists for GLP-1 medications. While currently, like we don't – there are currently no changes to the compounding market. It kind of remains to be seen how things play out. In our opinion, it's highly unlikely that compounded GLP-1 medications will be prohibited by FDA. Even in the absence of a shortage, we think the compounding will always have some role in the GLP-1 weight management space, particularly in the limited instances, where variances in a compound formulation of the drug produce a significant benefit for the specific patient. I think it's important to note that we believe the compounded versions of GLP-1 medications will naturally be replaced by branded therapies as soon as payers, employers and drug manufacturers agree on an acceptable cost structure that enables broad access to their therapies. And we always like to point out like more access to branded therapies or any therapies in this space, however that happens, is a big win for LifeMD. And we think this is inevitable, which is why we're so excited about the long-term potential of this business.
David Larsen: Okay. So I think what I just heard you say was that if more branded GLP-1 products launch or if generic versions of GLP-1s launch, due to perhaps increased sort of possible coverage areas of GLP-1s, for example, fatty liver disease or Alzheimer's, as these lower-cost brands or generic versions launch, that's a good thing for you is, what I just heard you say. Is that right?
Justin Schreiber: Yes. That's absolutely correct, David, more coverage, whether it be from government payers, private payers, self-insured employers more coverage, which every single person on this call knows is inevitable, simply a matter of when. And I think most people would agree it's not years down the road. I think it's likely something that over the next 6 months, 12 months, we're going to really start to figure out. Any of that is a great thing for LifeMD. We work with every pharmacy benefit manager. We work with – we're going to be launching nationwide Medicare coverage. We're evaluating the opportunities in the Medicaid market right now as well. Wherever the coverage is, LifeMD will be there with an incredible platform that offers comprehensive care in this space.
David Larsen: Okay. And just one more quick follow-up for me. Can you talk a little bit about sort of the precautions or safety measures that you've put in place with your own pharmacy, what that could overall do to your overall cost of goods? And there's some fear I think, amongst some investors around whether or not compound therapies are safe. Can you maybe just talk about your partners that the QA processes that they go through, the regulatory requirements that they all have to sort of meet? Just any color there would be very helpful. And then, I'll hop back in the queue.
Justin Schreiber: Sure. David, this is Justin again. So, importantly, our LifeMD's pharmacy doesn't make compounded GLP-1 therapies. We don't distribute LifeMD therapies. That's all something that we do for patients. We connect our patients to trusted third-party pharmacies that we've diligence that we believe are – that we feel very good about that are producing high quality, the highest quality versions of these compounded medications. I think that as far as the quality processes go of these pharmacies, I can't go into them in depth, but everything that you can imagine in a heavily, heavily regulated pharmacy or drug manufacturing operation, the pharmacies we work with are typically doing that and then more. They connect, they have labs inside of their pharmacies. They're testing every single batch of medication. They're sending regularly samples out to third-party labs. LifeMD conducts its own third-party testing on randomly on these medications, as well, just to make sure – just to again, provide a third check on the quality and to make sure that these drugs are exactly what our affiliated providers are prescribing. So, and it's important to point out, like some of the pharmacies that we actually refer patients to that are manufacturing these drugs are licensed – they are outsourcing facilities. They're licensed drug manufacturers that are manufacturing a range of other drugs that are FDA approved. So they're not just pharmacies that have popped up that are manufacturing GLP-1 medications. So, I mean, we feel very, very good. The other thing I'll mention, Dave, is we do a lot of background on any of these pharmacies prior to sending prescriptions to them. And the compounding pharmacy space is heavily regulated by FDA. And it's – all of the kind of inspections are out there in the public domain. And so, it's very easy to go see kind of the background and any regulatory issues that these compounding pharmacies have had in the past and to do diligence on who's a good actor and who's a bad actor.
David Larsen: Great. Thanks very much. I’ll hop back in the queue.
Operator: Your next question comes from the line of Sarah James from Cantor. Your line is now open.
Sarah James: Thank you. and congrats on a phenomenal quarter. Telehealth margins were really strong in 3Q. Can you help us understand what were the moving pieces there? And how that's going to trend going forward as you think about payer and product mix changes, as well as your strategy on growth?
Marc Benathen: Yes. Sarah, this is Marc. So in Q3, the big drivers were a couple folds. One, our retention has continued to be strong and has actually gotten slightly better. Two, we've had more success in some of our product businesses, continuing to upsell people to longer subscription lengths, the product revenue being recognized when the product ships. So that carries with it higher gross margins. And then three, continuing to have a bigger percentage of our revenue and this is the biggest component of it and this is really what drives a lot of the gross margin. A bigger percentage of the company's business in a meaningful way, particularly with the growth in weight management, coming from the service care-based model. As you know, most of our weight management revenue is not driven by the product. Almost all of it, vast majority, 85%, 90% is driven by service revenue, which does have a greater gross margin, as we don't have the underlying product costs associated with that bottle. So all of those have added up to stronger gross margins, which in turn have flowed through in the bottom-line and retention, obviously, as you build more of a stable base in some of these newer business lines like weight management with more rebillings, as we've always said more of it flows to the bottom line because you don't have the advertising cost associated with rebillings. As far as going forward, look, I mean, I'd assume our gross margins are going to be fairly stable and we'll probably have some improvements. We are expecting some improvements in 2025 and beyond with the pharmacy coming on the line, although that's going to take some time to make its way through the P&L, as we roll out. We do expect peak annualized savings of about $5 million a year, which will obviously – that's at today's volume, so that will grow over time, as volumes get bigger. And then obviously, our telehealth adjusted EBITDA margins, we would expect next year to continue to see expansion from the factors that I mentioned before.
Sarah James: Great. Thank you. And one more, could you update us on your clinical staff recruitment strategy with you guys moving into the payer realm and launching new products? How do you think about the need to front-end load your recruiting and to what level?
Justin Schreiber: Yes, that's a good question, Sarah. This is Justin. We feel really good about our current staffing levels. I think that we're always looking to hire the right 30 to 50-state licensed providers, finding great providers that have – that are licensed across the country is not easy. So we're – I would say, we're strategically adding FTEs to our affiliate medical group. But we feel really, really good about where we're at right now. The culture in our medical group is amazing. It's still like we've – when we compare kind of what we know about other large virtual care provider groups, I mean, I've yet to find one that I think has a culture that's remotely similar to LifeMD's, right, in a positive way. So, we feel good about it. We also are chatting with one or two other potential partners that have large provider groups, as well that could potentially augment what we have if we saw a lot of growth that we weren't expecting.
Sarah James: Very helpful. Thank you.
Operator: Your next question comes from the line of Alex Fuhrman from Craig-Hallum Capital Group. Your line is now open. It seems like his line is on hold. Once gain, Craig Fuhrman from Craig-Hallum Capital Group. Your line is now open.
Justin Schreiber: He must have wanted to share some of his music with us. Let's go to the next person. Maybe I'll come back to him.
Operator: Your next question comes from the line of Kyle Bauser from B. Riley Securities. Your line is now open.
Kyle Bauser: Hi, thank you and Great progress, particularly with turning the corner of profitability in the telehealth business. Maybe I missed this, but how many weight management subscribers were added in the quarter? And kind of what's the new level of active subscribers in this bucket?
Marc Benathen: Yeah. You actually didn't miss it. We've been pretty cognizant now that we want to disclose the total number now that we're at more of a mature level in weight management. 15,000 on a net basis were added during the quarter. We went essentially from 60,000 to about 75,000 weight management subscribers.
Kyle Bauser: Got you. So still very healthy, maybe a slight tick down from the 20,000 last quarter. Any color here, as to what you're seeing? I mean, obviously, there's some quite a bit of noise out there regarding compounded versions of GLP-1s presumably, that's impacted it slightly, but just kind of curious if you have any more color around that number of new adds.
Marc Benathen: Yes, I mean, it's also becoming – the business has a ton of growth going forward. Naturally, the net growth quarter-to-quarter can sometimes vary a little. There wasn't a lot of variation. We haven't seen much change in the business. I mean, CACs have gone up a little bit, but we've continued to be able to see some increases in the weighted AOV, as more people have elected for longer-term subscriptions. We've done some stuff, as of November that's out there publicly, where we revised our pricing a little bit because we actually were a little bit too low in the market. So we should see some benefits from that going forward also. And that's just on the care side. As we get bigger, we've also seen some more efficiency in our COGS, as well in the business, which obviously we're starting to see flow through to the bottom-line. But outside of that, really, there's, a lot of what's been going on in the market has been noise. There really hasn't been major changes in the dynamics of the market over the last couple of months versus what existed four, five months ago.
Kyle Bauser: Sure. Got it. Thank you. And then maybe on the WorkSimpli business, nice that it kind of returned to growth and you're forecasting kind of to hit peak later this year, which is great. I guess, what are your thoughts around divesting this business? Has there been interest? Is there a benefit in waiting? Do you think the valuation, it seems like if presumably that was divested and you're now a pure-play telehealth company that's just turned the corner with profitability, there could be upside that would more than outweigh any sort of difference in valuation. So just kind of curious what your thoughts there on that?
Marc Benathen: Yeah. This is Marc. Yeah, look, the plan is still to divest the business. As you know, the business had a soft year. And yes, it has turned the corner. It added 2,000 subscribers and Q4 has been off to a strong start thus far. Frankly, some of that softness delayed a potential transaction. There's still a lot of interest from multiple parties in the business. I think that business will need to demonstrate at least several months or a few months of sustained trajectory forward to get back to that peak monthly EBITDA, which they've committed to and frankly, are well on their way to, given the results over the last 60 days or so. So again, the plan is still divest the business. There is still a lot of interest in the business. It's a matter of the business continuing to execute what we've put out there and frankly, what they're on track for to get to by the end of the year, which is that peak EBITDA and continuing to grow from there.
Kyle Bauser: Okay. Well, thank you. Well, it’s a great update here. I’ll jump back in queue.
Operator: Your next question comes from the line of Steve Dechert from KeyBanc. Your line is now open.
Steve Dechert: Hey guys. Thanks for the question. With there being a number of competing weight management solutions out there that offer GLP-1 medications, what do you see as the key differentiators for LifeMD's offering? Thanks.
Justin Schreiber: Yeah, this is Justin. I think there are two big things that are key differentiators. The biggest is the quality of care we're providing and the fact that we're actually giving patients a real like distinct consult with the provider. That's just find another direct-to-consumer, direct-to-patient telehealth platform that's doing that at the scale that we are. I haven't found one yet. I think there are some other companies that are great companies that are doing this in an async manner. But I really think that's a big differentiator. I think following up on that, remember, LifeMD is a platform for providing virtual primary care and not just weight management and not just treatment for hormone therapy or whatever else it is. So, when these patients sign up for even the LifeMD weight management offering, our providers are able to help them with more than weight management, which I think is really unique. I think the last thing, I would say is the comprehensiveness of our platform is different than most other providers out there. A good example for that, I don't think we spoke about it on the call actually, but we're now offering nutrition consults to all of our weight management patients. They can – it's free of charge. It's part of the program. It's led by our – several of our NPs that are full-time providers that are certified in nutrition and just really knowledgeable in the space and we've built an entire program around this. We're building programs around sleep and other key components of wellness that can help people lose weight and live a healthier life. And I think this is like, this is very, very unique. Most other platforms out there, again, are using third-party medical groups. They're providing async consults. They may say that these things are comprehensive, but typically they're not. LifeMD really has a unique platform in that way. Steve, the other question?
Operator: Your next question comes from the line of Yi Chen from H.C. Wainwright. Your line is now open.
Eduardo Martinez-Montes: Hi, this is Eduardo on for Yi. Congrats on the great quarter. I had a few questions. I'm just kind of curious if you could add a little more color on - if you still think the GLP-1 therapies are going to be the main driver for growth? And if not, kind of what other kind of products or offerings you guys are excited about moving forward in 2025?
Justin Schreiber: That's great. Yeah. I think, we certainly think that GLP-1 therapies will be a very big growth driver next year. We also expect our men's telehealth business, RexMD to be a big driver of growth. We're very optimistic about the hormone therapy program that we launched under the RexMD brand. We're also working on similar hormone and wellness programs for women, which will be built on the LifeMD platform. And so, that's something that we're excited about next year. Our insomnia business is growing, is seeing very strong growth. We're excited about making that an even more robust offering. And then look, we're very excited over the next year or two about other clinical areas. One of them is behavioral health. We're thinking about the right strategy in behavioral health, but that's something that I think investors can look forward to. We're also looking at Type 2 diabetes and cardiovascular health. There are a lot of different, I think, prevention-oriented programs that we think are really appropriate for the LifeMD platform, both for new patients and like super, super appropriate for the hundreds of thousands of patients that we already have on our platform, many of which have one or many of which have two or more chronic conditions. So, very excited. I mean, we're very optimistic about next year. I think that the weight management program driven by accessing GLP patients having an interest in accessing GLP-1 medications will be a big growth driver. But importantly, like the underlying business is going to see great growth even without the GLP-1 business. I think that's a really important point for investors.
Eduardo Martinez-Montes: Got it. Got it. That's really helpful. And when you position these new offerings? Do you envision them being add-ons to existing subscription programs? Will you offer kind of just - or will they be like individual product lines? I'm kind of curious how you envision growth in private sector?
Justin Schreiber: No, almost all of them. Yeah, sure. I mean, look, that's a great question. But almost all of them, even the more complex like chronic stress management programs and wellness programs we're launching under RexMD, they'll all be driven by the LifeMD technology and care platform. I mean, we've invested and continue to invest so much time and capital into building that technology platform. I mean, it's incredible. Most investors don't understand how incredible the technology that we've built actually is. And that is going to be the driver of all of these future offerings. It will be under the LifeMD brand. We've put a lot of money over the years, of course, into building RexMD and creating like almost really turning LifeMD into a household name. And so, we're not going to stop marketing through LifeMD and there are going to be certain – there are going to be certain like lifestyle async offerings that are always going to be appropriate for the RexMD platform. However, everything through RexMD that is more complex in nature, we'll be moving those patients over to LifeMD. It will be a co-branded Rex and LifeMD experience and so, that's kind of the long-term plan.
Eduardo Martinez-Montes: Got it. That’s really helpful. Thanks.
Operator: There are no further questions at this time. I will now turn the call back to Justin Schreiber for closing remarks. Please continue.
Justin Schreiber: Thanks, everybody. Appreciate your time and for participating in the call and look forward to updating you next year on our yearly performance at LifeMD. Have a great evening.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.